Operator: Greetings, and welcome to the La-Z-Boy Incorporated Second Quarter Fiscal 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Kathy Liebmann, Director of Investor Relations and Corporate Communications for La-Z-Boy. Ms. Liebmann, please go ahead.
Kathy Liebmann: Thank you, Kevin. Good morning and thank you for joining us to discuss our fiscal 2016 second quarter results. With us today are Kurt Darrow, La-Z-Boy's Chairman, President and Chief Executive Officer; and Mike Riccio, our Chief Financial Officer. Kurt will begin today's call and then Mike will speak about our financials before turning the call back to Kurt for his concluding remarks. We will then open the call to questions. A telephone replay of the call will be available for one week beginning this afternoon. Slides will accompany this presentation and are available for viewing through our webcast link. These regular quarterly investor conference calls are one of La-Z-Boy's primary vehicles to communicate with investors about the company's current operations and future prospects. We will make forward-looking statements during this call, so I will repeat our usual Safe Harbor remark. While these statements reflect the best judgment of management at the present time, they are subject to numerous future risks and uncertainties as detailed in our regular SEC filings, and they may differ materially from actual results due to a wide range of factors. We undertake no obligation to update any forward-looking statements made during this call. And with that, let me turn over the call to Kurt Darrow, La-Z-Boy's Chairman, President, and Chief Executive Officer. Kurt?
Kurt Darrow: Thank you, Kathy, and good morning, everyone. Yesterday afternoon, we reported our fiscal 2016 second quarter results. We were pleased with our consolidated operating margin of 8.7%, the highest posted in any quarter in more than 12 years. We also increased sales and earnings, generated $20.2 million in cash from operations, continue to strengthen the performance of our company-owned retail segment. Purchased ten independent La-Z-Boy Furniture Galleries stores, and yesterday our Board voted to increase our quarterly dividend 25% to $10 per quarter. And with a solid pace of business throughout October we ended the third quarter and fall selling season with momentum. We continue to execute our multi-faceted growth strategy, inducing the 4-4-5 store build out plan acquiring independent La-Z-Boy Furniture Gallery dealers, as we increased the size of our company-owned retail segment. Increasing our business through other distribution channels, as well as has expanding our share of the stationary upholstery market. Now let me spend a few minutes talking about our three operating segments. Let’s get started with upholstery. For the quarter sales in the upholstery segment increased 2.9% to $305.8 million versus last year’s second quarter and we achieved 12.1% operating margin an increase from 11% in the comparable quarter of last year. Our ERP system implementation throughout the La-Z-Boy branded facilities is behind us, and we are seeing the benefit of the new technology in terms of increased visibility and improved scheduling and flow. In short, our people have better tools with which to work that are providing enhanced disciplines throughout the operation. Also during the period the segment benefited from supply chain savings, which included increased manufacturing efficiencies in addition to procurement savings, a positive change in product mix with increased sales in our power furniture category, and a strong performance from England, our sister upholstery company. Two weeks ago, we launched our new website in eCommerce platform. The new site provides the consumer with the more dynamic and intuitive digital experience with a new la-z-boy.com, and allows us to be more powerfully connected with our customers. Three years in the making, some of the improvements integrated within the new site include, one increased product details to educate, engage, and excite consumers. Secondly, enhanced search engine optimization features, three, increased exposure of dealer promotions, and finally availability of inspired shopping options by either room or style navigation. There are other enhancements to the side as well, all designed to make the shopping process easier for the consumer. Written same-store sales for the La-Z-Boy Furniture Galleries system increased 3.6% for the quarter. For the fiscal year 2016, year-to-date period, written sales for the store network are tracking at 4.2%. Providing we stay on this pace for the next two months, we believe we will achieve the $4 million target set for the average revenue per store in our 4-4-5 strategy for calendar year 2015, which is actually two years ahead of our original target. Turning to the 4-4-5 strategy, we are about halfway through our store build out program and ended the quarter with 330 La-Z-Boy Furniture Gallery stores, with 75 of them in the new concept design. For fiscal 2016, across the network we are planning for more than 30 projects, with 15 net new stores, plus 14 remodels to the new concept design format and one relocation translating to about 30 additional stores in the new concept design by the end of the fiscal year compared with the previous year. As we have spoken about before, changing out old format stores to the new concept design format is an integral component of our strategy. The new concept design format is performing at a higher level than our other two formats to upgrading the network as a whole in addition to increasing its size is critical to driving increased volume. And as our La-Z-Boy Furniture Gallery store system increases in size, the volume associated with that growth will benefit our La-Z-Boy manufacturing operations, where we will be able to leverage the fixed cost structure of our plants and improve our operating margin performance in the wholesale upholstery segment. Now let me spend a few minutes on our casegoods business. Over the last two years, we have made many changes to our casegoods business. With a peer-import model, fewer brands and more collections focused on transitional and lifestyle looks, our casegoods business returning in improved performance. For the quarter, the casegoods segment delivered a 9.3% operating margin compared with 10.4% margin in last year’s second quarter. However, last year’s second quarter included the benefit of a $2 million reduction, the LIFO reserve for domestically manufactured inventory, which improved operating margin by seven percentage points last year, and $1.2 million in sales of hospitality furniture which represented about 4% of the quarter's sales for the segment. So stripping out those two items, you can see that we are performing at a much higher level today. With respect to our product line, the new groups offered by Kincaid are gaining traction on retail floors, and are performing at a higher level than the lines they replaced. Additionally, we have caught up on most of our inventory issues from last quarter and are in a much better in-stock position for the fall selling season. We were also pleased with a positive response to new collections offered by American Drew, at the recent high point furniture market in October. And our occasional business in Hammary is doing very well. All in all, we believe our casegoods segment is very well positioned to turn in steady and improved performance going forward. Now moving on to retail. Our retail segment continued to perform well during the quarter. We increased sales 14.1% to $96.5 million versus last year's second quarter, and posted a 5.9% operating margin, a 34% improvement over last year’s performance in the comparable period. On the 96 stores included in the last year’s second quarter delivered sales for this segment increased 1.3%. With increased sales, we’ve been able to leverage the higher fixed cost structure associated with the retail business, primarily in the occupancy area. We also increased our gross margin during the period, as a result of increased in-home design sales, an increase in the average ticket and strong performance in the power category. And to put our retail segment’s performance into perspective for the first six months of fiscal 2016, we’ve made $10.4 million in operating income. For all of fiscal 2015, the retail segment made $11.5 million in operating income, so you can see how our integrated retail model will benefit the entire enterprise as it continues to grow and improve its performance. During the quarter, we acquired 10 La-Z-Boy Furniture Gallery stores from three independent dealers. Two stores in Wisconsin, two in the Carolinas, and six in the Cleveland, Akron, and Canton markets. As we have discussed in the past, one of our key growth strategies is to grow our company-owned retail business through the acquisition of independent dealer stores that makes sense for the company based on the opportunity for growth. We believe that when we are done with our 4-4-5 build out strategy, the company’s ownership of the entire network will increase to between 40% and 50% based on new stores and those that we may acquire. To give you some perspective on the expected contribution to our company-owned retail segment of the 10 stores acquired. They generate about $36 million in revenue combined, and collectively they are more profitable than the average store in our company-owned segment today. And based on our ability to streamline various cost across the markets, we believe we can increase their profitability further. Now a note for your modeling purposes, the wholesale volume associated with those stores was already accounted for in our wholesale upholstery segment. We will however pickup the retail volume and related profitability in our retail segment. I would like to take a moment and thank the three independent owners of La-Z-Boy Furniture Galleries stores we acquired for their dedication and commitment to La-Z-Boy Incorporated. All three ran solid businesses over a long-term period and we wish them all the best in their retirements. Our company-owned retail businesses are on track to continue to grow and deliver results. And we believe our integrated retail model where we control the wholesale and retail side of the equation provides a great stack margin opportunity, where we are achieving a blended margin in the mid-teen range. I will now turn the call over to Mike to speak more about our financials. Michel?
Mike Riccio: Thank you, Kurt. Consolidated sales for the fiscal 2016 second quarter were $383 million, up 4.7% compared with last year's second quarter of $366 million. For the quarter, consolidated operating income increased to 11% to $33 million compared with $30 million in the fiscal 2015 second quarter with the consolidated operating margin increasing to 8.7% as Kurt noted earlier. The company reported net income from continuing operations attributable to La-Z-Boy Incorporated of $21 million, or $0.41 per diluted share, compared with last year's second quarter net income of $19 million, or $0.36 per diluted share. Our consolidated gross margin improved 2.6 percentage points in the quarter compared with last year's comparable period. During the quarter, our upholstery segment benefited from higher unit volume, favorable changes in mix and supply chain savings, which includes efficiencies at our manufacturing operations in addition to procurement savings. We also recorded a 0.5 percentage point benefit related to legal settlements and cost of sales and our retail segment contributed to our gross margin increase, particularly as it’s becoming a larger percentage of the overall business. As we have talked about in the past, the retail business has a higher gross margin associated with it, so as it increases in size, our consolidated gross margin will increase as well. Partially offsetting the contributions from wholesale upholstery and retail was a lower gross margin in the casegoods segment due to $2 million reduction to the LIFO reserve for domestically manufactured inventory in last year’s second quarter. Selling, general, and administrative expenses for the quarter, as a percentage of sales, increased 2.2 percentage points versus last year's comparable period. During the period, we had 0.4 percentage point increase in incentive compensation due to improved performance against targets versus the prior year results. We also had a 0.4 percentage point increase in advertising due to promotional calendar shifts, a 0.3 percentage point increase in warranty expense due to higher replacement part costs and labor associated with our more complex products. Also during the period, we incurred higher professional fees related to the ERP system, our new eCommerce platform and website and other matters as well as increased expenses associated with our new world headquarters. And finally, as I mentioned a moment ago, with our retail business continuing to grow, it carries a higher SG&A, primarily due to occupancy costs than our wholesale operating segments. Now let me turn to the balance sheet. For the quarter, we generated $20 million in cash from operating activities. We ended the period with $75 million in cash and cash equivalents, $32 million in investments to enhance returns on our cash, and $9 million in restricted cash. During the quarter, we invested $19 million to acquire the 10 independent La-Z-Boy Furniture Galleries stores, Kurt discussed earlier. As he mentioned, those stores combined have about $36 million in annual revenue at retail. Moving forward, we plan to continue to make acquisitions of independent La-Z-Boy Furniture Galleries stores, but with the third quarter being the busiest selling season at retail, we will most likely delay any further any acquisitions until the fourth quarter. We also had capital expenditures of $7.4 million and expect CapEx for the full year to be in the $25 million to $30 million range, down somewhat from the range we gave you at the onset of the year. We’ve made $4.1 million in dividends and spent $9.3 million to purchase 300,000 shares of stock, which leaves 5 million shares available for purchase in our program. Moving forward, based on cash flows, stock market conditions and other uses for cash including making investments in the business to drive growth, we will be opportunistic with respect to our share purchase program. As for the dividend, we reinstated it in 2012, over the past four years. We have consistently raised the dividends steadily and believed at its current level, it provides investors with a reasonable return of our earnings with future increases based on earnings and cash flow considerations for the business. And lastly, our effective tax rate for continuing operations for the quarter was 36.2% compared with 35.3% for the second quarter in fiscal 2015. Our effective tax rate varies from the 35% statutory rate, primarily due to state taxes less the benefit of U.S. manufacturing deduction and foreign earnings in jurisdictions with lower tax rates than the U.S. For the full year, 36% is a good range to use for the modeling purposes. Before turning back the call to Kurt, I’d like to remind everyone that fiscal 2016 is a 53 week year with the extra week occurring in the fourth quarter. Kurt?
Kurt Darrow: Thank you, Mike. We remain optimistic about our business and positioning in the marketplace. Our messaging, our product offerings, our merchandising and branded distribution channel are strong. Our operating platform is lean and efficient and we continue to make strategic investments in the business to drive growth and profitability with our four strategic growth initiatives working in tandem to achieve our performance objectives. I want to thank all of you for being on the call this morning and we’ll turn things over to Kathy to have the Q&A started. Kathy?
Kathy Liebmann: Thank you, Kurt. We will begin the question-and-answer period now. Kevin, please review the instructions for getting into the queue to ask questions.
Operator: Thank you. At this time, we will be conducting the question and answer session. [Operator Instructions] Our first question today is coming from Brad Thomas from KeyBanc. Please proceed with your question.
Jason Campbell: Hi, guys. This is actually Jason Campbell standing in for Brad. First off I just – you talked about trend accelerating through the quarter. Just a little bit more color on where you exited the quarter, what you’ve seen over the last month and a half now? And then if you can also talk about what you’re seeing in Texas and maybe some of these other oil markets?
Kurt Darrow: So our view on that is, we’ve given you the same-store sales growth for the quarter for the Furniture Galleries Network and suffice to say October’s business was above that level. We don’t quantify by month, but certainly it was higher than the average of the three months. And we’re trying to control the things that we have influence over. Obviously, what’s happening in other markets, what’s happening around the world with the geopolitical things going on is way out of our control. It does have some concern going forward, but we are today pleased with the pace of business, have an aggressive plan for the holidays selling season and we’ll see what happens with the greater economy on the whole.
Jason Campbell: Okay. And you’ve had a lot of IT investments over the past, at least 12 to 18 months – and that you have the ERP system behind you, you’ve launched your website. Is this something that we should start to see some of those costs going down or is this just – maybe redeploying those dollars to some other IT projects?
Kurt Darrow: I wish your first statement was right, Jason. I would have hoped a few years ago that IT cost would be able to be leverage a little more than they are, but the fact of the matter is the world of IT is changing so much. And if you want to stay relevant, you have to continue to make investments and it may not all be the consumer facing events – investments, it could be in cyber security, it could be in a lot of places. But I’m not very optimistic right now that we are going to reduce our IT spend any time in the near future.
Jason Campbell: So do you think roughly flattish or do you think that there is – this just going to keep ramping up here for the next couple of years or so?
Kurt Darrow: Well, if you can tell me what new things are going to come up with that make you business better or make it easier to communicate with the customer, I could answer that question, but the one thing you don’t want to do, which is where we were, we were behind the curve. We had a lot of catch-up to play in all of our systems that we don’t want to get in that position again. So we’re going to manage it prudently and make sure the investments give us a return, but I think the pace of change in technology, the next 10 years, is going to be quite a bit more than it was in previous decade.
Jason Campbell: Okay. And then lastly, I just wanted to touch on – you talked a little bit about the casegoods segment and then some of the improvements you’ve made. Just kind of how you feel about the segment today both in terms of businesses that you have right now and you’ve exited a lot, you know, the product line up is that kind of where you need to be? And then what type of growth should we think of for that business going forward?
Kurt Darrow: So, we have made all the structural changes and changes with our various brands that I think we’re going to make in the near-term. We’ve got a platform now that we’re comfortable with. It’s starting to show improved results. It all depends on the merchandizing and styling that you come out with and you can appeal to the various segments of our customer base. But our casegoods business is, has some momentum, it will show up as we go forward in a lot of areas. And we don’t – we are very happy with the three remaining companies we have. They serve different niches in the segment in the industry. And we would expect continued growth, which I’m not going to quantify, but we would expect continued growth and high single-digit profitability from this segment.
Jason Campbell: All right, I appreciate it.
Kurt Darrow: Thank you.
Operator: Thank you. Our next question today is coming from Budd Bugatch from Raymond James. Please proceed with your question.
BobbyGriffin: Good Morning, Kurt, Mike and Kate. This is Bobby Griffin actually filling in for Budd. I appreciate you guys taking my questions.
Kurt Darrow: Good morning, Bobby.
BobbyGriffin: Kurt, could you maybe provide just a little bit more color on your in-home designing custom orders program. How is the penetration of those programs today versus maybe a year or two ago?
Kurt Darrow: In each of those, excuse me, Bobby in each of those categories we continue to get a long run basis on an annual basis. We keep doing a higher percentage in each category. So we do a little bit more in-home business every, as a percentage of our sales every quarter, as a same way with custom. The fact that, we have so many custom options that we can deliver the furniture fast because of our domestic platform and our Mexico cut-and-sew situation those are two advantages, we feel we have against our competitors and something the customer wants. And so, I don’t have you know the actual numbers in front of me. Bobby, to answer that statistically, but I do know that that each year the percentage of our business is done both in-home and custom are going up.
BobbyGriffin: Okay. And then maybe just a touch on that advantage that you referenced there with the cut-and-sew there in Mexico, what is the typical lead time for you guys for a custom order that that could give you the competitive advantage?
Kurt Darrow: Well having a go through our system is typically four to five weeks then there is transportation time and time from the dealer to get it to the customer. So most of our retailers are quoting five weeks to seven weeks to a customer, but that includes a lot of transportation time not manufacturing time.
BobbyGriffin: Okay, I appreciate that. And then, Mike should we expect the legal benefits to continue here in the fiscal third and fourth quarter? If so will the magnitude be about the same as we’ve seen in the first two quarters?
Mike Riccio: I commented last time that we were done with our legal benefits and, we were – some excess funds came through, and we were surprised by. So we don’t expect anymore, but like within the other legal environment some things we just don’t control. So I don’t expect anymore, I didn’t expect on this quarter. But we did get some.
Bobby Griffin: Okay. I appreciate that color. And then I guess lastly from me, can you maybe just touch and provide a little color on how the implementation of the sales and order, management component of the ERP system is progressing so far?
Mike Riccio: It’s progressing well, there’s a lot of parts that are being touched on this because it’s dealing with the customer and how they – how our dealers are interfacing to our system. And once they get in, it deals with almost every part of the E1 system that we’ve already implemented. We are going through this and just like we’ve done everything else, we’re making sure that we don’t do the big-bang theory on this that we’re taking little parts at a time, so that we can ensure the stability of the system as we integrate the new product of the seller to the management. And we’ll continue to do that for the next six to eight months is what we’re really shooting at.
Bobby Griffin: I appreciate the color, and thank you for answering my questions again. And best of luck to the remaining portion of the fiscal year.
Mike Riccio: Thanks Bobby.
Operator: Thank you. Our next question today is coming from Matt McCall from BB&T Capital Markets. Please proceed with your question.
Matt McCall: Thank you. Good morning, everybody.
Kurt Darrow: Good morning Matt.
Matt McCall: So I’ll hit this, I’ll start with upholstery segment margin, 12% versus 11%, I think, you guys throughout, procurement, efficiency, ERP, I think those things might have been related and then obviously leveraged. The incremental there was like 40%. So how do we look at the impact of ERP going forward, the impact of efficiency going for procurement? The comp was, I think, your contribution margin cost gets easier as we go through the years, I know you’re using this to think that incremental margin is going to decrease?
Kurt Darrow: Well – there is a lot of moving parts there and I don’t, we are getting benefit from E1 and will continue to do so. But I don’t think it increases the pace that it does the first time we started using it. And so you can’t say in the future, it’s going to give us three more points of operating margin, but it’s certainly helping us here in the beginning. And right now Matt, this is certainly with the commodity market, the way it is, this is certainly advantageous to American manufacturers. How long that last is anybody’s guess. So, yes, if we can get additional volume, it’s all about the extra volume going through the plants with our fixed cost. There was not something that was so unusual this quarter that we couldn’t repeat. So, no predictions about the next few quarters, but it was just a very solid execution from our manufacturing team and, some benefits that we got this quarter that may or may not be the same a year from now.
Matt McCall: Okay, is there anything in the seasonal pattern, it looks like you talked about Q3 the strongest shipment quarter, is there anything that would keep it from being the strongest margin quarter this year just from upholstery [ph]?
Kurt Darrow: No, Q3 is not our stronger shipment quarter. So Q4 is [Audio Dip]. It’s is the best selling season but the fact that we have a great level of activity after Christmas. And what I just talked about with customer everything a lot of that after sale period does not get delivered in the third quarter, it all deliveries out in the February. So February, I mean the fourth quarter still in doubt that changed a little bit with this, because of our retail component. But we still expect the fourth quarter to be the highest volume quarter.
Matt McCall: Okay, but margin is the same? Margins on Q4?
Kurt Darrow: I don’t have that crystal ball, but there, like I said there was no special item that caused us to earn 12% in the second quarter. So if the dynamics stay the same and we get more volume, we would expect similar results.
Matt McCall: Got it, okay. So in the casegoods margin, I think, you said Kurt that you expect a high single-digit operating margin there or you’ve got at least one public period it does the double-digits. Is there any reason you can’t get there something structurally different about the two businesses, or is it just where you see things today?
Kurt Darrow: So where I see things today and you know we’ve been a little conservative to make sure that we hit our targets, but we’ve been operating in the mid single-digits. So close to doubling that, we – let us achieve that for a few quarters, and I’ll give you a new estimate.
Matt McCall: Okay, that’s fair. Then, I guess, utilization at the factories, you talked about in the past and you’ve given some growth rates which you’ve been able to achieve without any additional bricks and mortar with the addition of ERP, does that number changed all? Does your utilization stabilize even with a little bit of growth because you’re unlocking some opportunities in the factory?
Kurt Darrow: Well here’s the way we look at it. So we’ve been growing, let’s just say for conversation sake, 5% a year, and thinking what we would grow into our capacity utilization, if you compound that over four years or five years. But each year our efficiencies and our productivity are increasing 3% to 4%. So the real capacity utilization, we haven’t cut into that much. So we’re still confident that we have that $250 million range of additional manufacturing product that we could do, if all things stay equal.
Matt McCall: Okay, alright. Then the final question is on the revenue per store, as you’re going to potentially reach that by the end of this years, two years in advance, I mean the obvious question is, what does that mean from a goal perspective? Are you going to see that number, the goal take higher or there is some impact from some of the these new stores from a revenue per store drag...
Mike Riccio: No, I think the entire network is continuing to perform well and obviously we’re going into some new markets that have given us great sales conversion. But my comment on that would be this, so we may beat the, one of the fours, do more than $4 million a store. But we may not quite get to the 400 stores. I’ve talked about the difficulties in some of the expensive markets. So that’s just for argument sake say we get the 385 stores and they’re doing $4.2 million a store. We would deliver the same economic value of our plan. But everything wouldn’t be perfect.
Matt McCall: Got it. Okay, thank you.
Operator: Thank you. [Operator Instructions] Our next question today’s is coming from Kristine Koerber from Barrington Research Associates. Please proceed with your question.
Kristine Koerber: Good morning. First, can you just talk about what you’re seeing with regards to the overall consumer and their willingness to spend is it getting any better?
Kurt Darrow: Well we were pleased with our same-store sales for the quarter. And we are having a drag in both our wholesale and retail business with a strong U.S. dollar as it relates to Canada. So Canada is of our upholstery business, wholesale business, Canada is somewhere around 10% of our overall volume. And our – because the same product today is costing the Canadian consumer, 25% to 30% more, we’ve seen a slowdown. And even with that slowdown we had both the results that we had in wholesale and retail. And while they’ve been able to charge, they’re getting the price on the retail side. Their unit volume has gone down significantly in our wholesale business in Canada was off in excess of double-digits. So, we have not seen a pattern with a change with the consumer. As I said earlier, we’re geared up for an aggressive holiday season, but we can’t control all the things that are going on right now, around the world. And whether the events of last week and are going to change people’s habits in the next sixty days, I don’t, I don’t have a crystal ball on that.
Kristine Koerber: Okay. And with regards to just follow-up on the Canada business, because I believe that some of your strongest performing stores in that territory. Is any concern there with the slowdown or do you just think it’s all due to the strength of the U.S. dollar?
Kurt Darrow: I think, it’s 100% relating to the exchange rates and the Canadian dollar year and a half ago, the Canadian dollar and U.S. dollar were in parallel, and now its 25% to 28% differential. And I’m not of the opinion that’s going to last for a long time, but it’s very relevant right now.
Kristine Koerber: Okay, that’s helpful. And then, as far as the stationary category, can you just give us a little more color on what’s going on there, or the traction that you’re gaining in the category and the long-term opportunity is?
Kurt Darrow: Well, I’ll start with the last part first, the long-term opportunity is La-Z-Boy has the highest market share in its business, the categories in recliners, and it is the dominant player in the world and it’s what our historic strength has been. The recliners are one of the smaller parts of the upholstery business. Our next strongest category is motion furniture, and I believe we have a leading share in that category as well. But combined the motion furniture business and the recliner business is still not quite as large as the stationary upholstery business. And so our market share in that category is nowhere close to the other two. So we think, we have a lot of room to grow and a lot of room to gain share over a long period of time in those categories. And the more, in-home we do, the more custom orders we do. And the more that our marketing is effective in teaching people that La-Z-Boy offer so much more than motion furniture. It’s a pretty wide open space for us that we’re optimistic about.
Kristine Koerber: Okay. And then the Urban Attitudes still helping to drive a stationary category?
Kurt Darrow: We believe it is and we introduced a couple of new styles to that collection in October, that were well received and that’s been a big boost to our stationary upholstery business.
Kristine Koerber: Okay, great. And then just lastly the, you indicated in the Press Release that the store pipeline for the fiscal 2017 is building. Talk about the market you’re going into or going into any new markets.
Kurt Darrow: We’re not going into a lot of new markets, it’s more filling out the markets that we’re already in. So we have two stores in Minneapolis right now, we expect to have four over the next year and a half, we’re adding a second store in Richmond, we’re adding stores in Baltimore and Southeast Michigan. So we’re – it’s more getting our footprint in the larger markets at a more matured level.
Kristine Koerber: Okay, great. Thank you.
Kurt Darrow: Thank You.
Operator: Thanks. Our next question today is coming from Brad Thomas from KeyBanc Capital Markets. Please proceed with your question.
Brad Thomas: Hi. Good morning, everybody. I got in a few minutes late, but wanted to get a few other follow-up questions in if I could. Kurt, I just want to ask a little more about eCommerce and see if you’d give us little more color about your - from your early observations of the new website. And you know maybe what’s the next, upgrades or iterations could be down the road.
Kurt Darrow: So it’s really Brad, too early to make any judgments. It’s been two and a half, three weeks and we don’t have the mobile site up and operating yet. So it would be premature to comment on any change there. But you will find it easier to navigate, you’ll find more tools to help if you design your room. I’m proud of the team that worked very hard the last three years to put this together. But I can’t tell you what the next evolution is going to be, but I know your website is viewed against me and some number of other websites that are out there competing for the consumer dollars. So we have to be competitive not only in the furniture space, but we have to be competitive with our website. With all other sources of media that the consumer has a chance to look at. So I’d like to say this upgrade will be good for us for another five years But I don’t think that’s the case, I think you got to continue to reinvest in technology today.
Brad Thomas: Yes, and with the website upgraded, updated. Can you talk about maybe how marketing may change to maybe drive more traffic to this site?
Kurt Darrow: Well not only – that will happen, we will continue to do all the other – pull all the other levers to have people do that. And the other thing about the capabilities of the new website is, we believe for the first time we’ll be able to track the traffic that comes, the website was some correlation of how many of them actually visit one of the stores. So that will be a great connection to find out the interaction between brick and mortar and the website.
Brad Thomas: That’s great. Thanks Kurt. If I could add follow-up on inflation in raw or deflation in raw materials. What are you all assuming as we look forward in terms of input cost, and could those potentially start to be a beneficiary for you all?
Kurt Darrow: Well actually they’ve been a beneficiary and they’ve changed quite a bit in the last quarter, quarter and half. We’re fairly confident about our input cost remaining the same or even improving the next six months. Mostly because most of our contracts are at least six months in duration, but that we’ve been through these cycles before, that doesn’t remain forever, but right now the commodity costs are a benefit to us.
Brad Thomas: Great. And with the cadence in your business do you feel like you’d prefer to maybe pocket some of that rather than reinvesting in lower prices, how does that affect other decisions you might make about your, pricing your marketing levels for example?
Kurt Darrow: Well it’s a – it puts us in a great situation, Brad to make those choices. We – as the benefits we get from those type of things, there’s other thing; there’s other cost in our business that are going up. And so, we have to look at it in totality and make decisions about, do we spend more in marketing, do we offer a few more promotions at different prices. And we’re constantly doing that but, you have to be careful about not going too far because the commodity thing could change quickly and you don’t want to stretch it one way or the other and be caught short.
Brad Thomas: Sounds great. Thanks so much Kurt. And good luck next quarter.
Kurt Darrow: You bet.
Operator: Thank you. We reached the end of our question-and-answer session. I’d like to turn the floor back over to management for any further closing comments.
Kathy Liebmann: Thank you everyone for participating in our call this morning. If you have follow-up questions, please reach out to me. Have a great day. Bye-bye.
Operator: Thank you. That does conclude today’s teleconference. You may disconnect your lines at this time and have a wonderful day. We thank you for your participation today.